Operator: Good day, and thank you for standing by, and welcome to the Fiscal 2021 Q4 Earnings Call. At this time, all participants are in a listen-only mode. Please be advised that today's conference is being recorded. [Operator Instructions].  I would now like to hand the conference over to your speaker today, James E. Ferrell, Chief Executive Officer and President. Please go ahead.
James Ferrell: Thank you, and good morning to all. My name is Jim Ferrell, proud representative of 4,500 men and women who make this company work. As I look back at the year that ended on July 31, it was one of the most remarkable in the company's long history. Our employee owners responded extremely well as we transformed ourselves into a high-performance and very agile logistics company. Learning to deal with new technology, dashboards and metrics is not easy, especially when the need to restructure our balance sheet created uncertainty regarding our future. Saying I am proud of our amazing financial results during a time like this is an understatement.  As a result of the restructuring, the most expensive portion of our capital structure is now the Class B units. Our financial performance allowed us to make a distribution a couple of weeks ago to the B units of $49.9 million or $38.46 per Class B unit, beginning a multi-year process of reducing our cost of capital and, therefore, increasing the value of the common equity on which our employee owners and you depend.  There are two other officers on this call, and I am first pleased to introduce our new Chief Financial Officer, Dhiraj Cherian. He joins us from Panasonic Automotive Systems Company and brings with him more than 20 years of strategic, financial and operational achievements. We're very excited to welcome him on board.  The other person is our Chief Operating Officer. Tamria Zertuche is not new Ferrellgas, but is the architect of our transformation. Tamria is the primary reason for our great financial performance, and she was very instrumental in our restructuring.  Together, we were able to restructure the balance sheet, while transforming an old company into an exceptionally modern logistics organization. With more to come, I will let her fill in with the ops report and M&A after now handing the call over to Dhiraj Cherian.
Dhiraj Cherian: Thank you, Jim, and welcome to our fourth quarter 2021 earnings call. Thank you all for joining us. I'd like to remind all of you that some statements made during this call may be considered forward-looking and that various risks, uncertainties and other factors could cause actual performance to differ materially from anticipated performance. These factors are discussed in our Form 10-K filed last week, and other documents filed from time to time with the Securities and Exchange Commission.  Additionally, we note that the purpose of this call is to discuss the results of operations for the fourth fiscal quarter and full year ended July 31, 2021.  The company's strong performance continued during the fourth quarter of fiscal 2021, leading to a $67.6 million increase in operating income for the fiscal year. The gallons of propane sold for the quarter were $147 million compared to $141.5 million in the prior-year quarter, or a $5.5 million increase.  Blue Rhino tank exchange sales continued to increase due to further market share penetration, national marketing strategies and continued growth in backyard and outdoor appliance usage.  Also contributing to a strong gallon performance are right time deliveries that shifted gallons into this quarter and additional marketing on key consumer platforms. This has resulted in a $5.7 million increase in gross margin dollars or 4% higher than the prior-year quarter.  Highlighting the company's delivery efficiency strategies in response to increased volumes, operating expenses decreased by 11% when compared to the same quarter of last year.  For the quarter, the net loss attributable to Ferrellgas Partners L.P. was $18.8 million, or $7.13 per Class A unit compared to the prior-year quarter net loss of $17 million or $14.26 per Class A unit. Adjusted EBITDA, a non-GAAP measure, decreased by $2.6 million, or 9.6% compared to the prior-year quarter. For the fourth quarter, adjusted EBITDA was $24.1 million compared to $26.7 million in last year's quarter.  For the fiscal year, the net loss attributable to Ferrellgas Partners L.P. was $68.4 million, or $18.09 per Class A unit compared to the prior fiscal year's net loss of $82.5 million, or $16.08 per Class A unit, a decrease of 12%.  The fiscal year's loss is primarily attributable to the $104.8 million of loss on extinguishment of debt incurred through our successful restructuring transactions as compared to $37.4 million in the prior fiscal year.  Adjusted EBITDA, a non-GAAP measure, increased by $52.6 million or 20% compared to the prior year. Adjusted EBITDA was $318.1 million compared to $265.5 million in the last fiscal year.  And now, I will hand over to Tamria to speak to our operations.
Tamria Zertuche: Thank you, Dhiraj. The financial restructuring process we underwent in the third quarter has allowed us to continue growing by M&A. During July, we added Proflame to the Ferrellgas family. Proflame has operations in Long Island, and will strengthen our position in this area for years to come.  Our retail and tank exchange businesses continue to grow. We have strategically added to our customer base with new locations that positively impact our route density. In addition, we have expanded our tank exchange home delivery operations to 12 markets across the United States.  The keys to our success lie in our employees and having a strong operations team across the country. Additionally, our management development program created last year continues to thrive. The third class of 22 candidates from across the country will be graduating next month, with a new class starting in early 2022.  Also, during the last quarter, we fostered an internship program in which five undergraduate students worked in supply chain, finance, marketing and technology departments throughout a 12-week program.  As we continue to be affected by storms during those last months, we partnered with Operation Barbecue Relief to provide support to those areas most impacted in Southern United States.  Next, a Q&A section. In an effort to provide more transparency, we will address a few questions that we received over the last few days. Some are operational in nature, therefore I will address those first.  The first question. Would you discuss the recent acquisition and outlook for future acquisition. The company has long been considered a leader in acquisition. The successful capital restructuring allows us to be an active participant in acquisition activity. We look to acquire in areas that strengthen our goals of strategic growth through route density and operational excellence through leveraging our assets.  The next question, is Ferrellgas seeing signs of demand destruction via conservation due to high propane pricing? No, we are a technology-enabled logistics company. And these capabilities, when paired with the pass through pricing structure known throughout our industry, create a good formula in times of higher propane pricing. Currently, we are not forecasting demand destruction due to higher propane pricing.  The next question, why were fourth quarter wholesale volumes down year-over-year? We attribute this decrease to external supply chain disruptions, mostly in the steel market, our improved delivery efficiencies continuing to push deliveries to the right time and better asset utilization.  The next question. What drove decline in customers in the fourth quarter? Improved asset utilization created this point-in-time decrease for this measurement expected to be just this fourth quarter measurement.  I will now hand over to Jim to speak to the last question.
James Ferrell: Thanks, Tamria. The question has to do with discussing the $79 million broker margin deposit liability listed on the 10-K. This is not a speculative position. This is a hedge to backstop our fixed price program we call Platinum Plus for the fiscal year 2022 heating season.  Let me also say here that this company is experienced and well run. We do not expect demand destruction. We do expect to perform.  Now I'll turn the call back to our moderator. But before I do that, as mentioned in the announcement for the call, any additional questions may be submitted via our Investor Relations e-mail box at investorrelations@ferrellgas.com.  Thank you all very much for attending our fiscal year-end earnings call. Once again, we are very proud of our performance and look forward to future positive earnings calls. Goodbye.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.